Operator: Good morning, ladies and gentlemen, and welcome to SiriusPoint's First Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded, and a replay is available through 11:59 p.m. Eastern Time on May 15, 2024. 
 With that, I would like to turn the call over to Dhruv Gahlaut, Head of Investor Relations and Chief Strategy Officer. Please go ahead. 
Dhruv Gahlaut: Thank you, operator, and good morning, good afternoon to everyone listening. I welcome you to the SiriusPoint Earnings Call for the 2024 First Quarter Results. Last night, we issued our earnings press release and financial supplement, which are now available on our website, www.siriuspt.com. Additionally, a webcast presentation will coincide with today's discussion and is available on our website. With me here today are Scott Egan, our Chief Executive Officer; and Steve Yendall, our Chief Financial Officer. 
 Before we start, I would like to remind you that today's remarks contain forward-looking statements based on management's current expectations. Actual results may differ. Certain non-GAAP financial measures will also be discussed. Management uses the non-GAAP financial measures in its internal analysis of results and believes that they may be informative to investors in gauging the quality of our financial performance and identifying trends in our results. However, these measures should not be considered as a substitute or superior to the measures of financial performance prepared in accordance with GAAP. Please refer to Page 2 of our investor presentation for additional information and the company's latest public findings. 
 At this point, I will turn the call over to Scott. 
Scott Egan: Thank you, Dhruv, and good morning, good afternoon, everyone. Thank you for joining our first quarter 2024 results call. As you can hear, I have a rather croaky voice today, so I apologize in advance, but the great news is our results are better than my voice. 
 I'm really pleased to be able to say that 2024 is off to a strong start. We delivered our sixth consecutive quarter of positive underwriting results, improved the quality of our earnings and took action to further strengthen our balance sheet. The performance momentum from 2023 has continued with strong year-over-year performance. We are executing on our ambition to deliver consistent and stable earnings that create long-term shareholder value. Our strong results and strategic actions taken this quarter move us closer to our longer-term ambition of becoming a best-in-class insurer/reinsurer. 
 Before sharing the key messages relating to our results, I want to recap on four developments from the quarter within our key messages on Slide 5. Firstly, I would like to highlight the liability management exercise we completed recently. This has further improved the quality and strength of our balance sheet and area that we highlighted in Q4 that we would focus on. We announced 3 debt transactions in late March, including our debut -- debt issuance of $400 million. These transactions were aimed at refinancing $400 million of 2026 legacy senior notes and redeeming $115 million of legacy 2025 senior notes, all were successfully executed. 
 The new debt instrument will be capital accretive under the rating agency and regulated capital models and will increase our capital levels by a further $300 million on a net basis. This increase in capital equates to an approximately 20 point improvement in our Q4 '23 BSCR ratio, which already stands at 255% before this. Our capital levels have never been stronger. Additionally, the redemption of the $115 million '25 senior notes will reduce our financial leverage by around 2.5 points. These transactions, together, were designed to simplify and optimize our capital structure and complete another part of our repositioning of the group. 
 Secondly, and as we previously communicated, we identified a material weakness in our internal controls over financial reporting in Quarter 3, 2023. As a reminder, the material weakness was in respect to a misstatement of our quarterly premiums during the first half of '23. I am pleased to say that this has now been fully remediated as of Quarter 4, 2023. Thirdly, we obtained new ratings from Moody's ahead of our debt offering. They have assigned us an A3 financial strength rating, further validating the progress we have made in improving our results and strengthening our balance sheet. As a reminder, we have financial strength ratings from AM Best, S&P and Fitch. And this year, S&P, Fitch and AM Best affirmed our financial strength ratings as stable. 
 And finally, I want to highlight the loss portfolio transaction we announced yesterday. This transaction covers approximately $400 million of workers' comp reserves linked solely to the business we already exited at 1/1 this year. Given the historical poor performance of this specific book, we felt it was the right decision to reduce future uncertainty now as part of our balance sheet improving the work. We have entered into a transaction with Enstar, which is subject to regulatory approval. This will further improve the quantum and quality of our reserve margin. 
 Turning back now to our Q1 results. We are very pleased to report a strong first quarter with a combined ratio of 91.4% for our core business, net income of $91 million and diluted book value per share growth of 2%. Importantly, our Q1 performance is within the updated medium-term ROE guidance range of 12% to 15%. 
 Beginning with our strong underwriting result for the quarter, our headline combined ratio of 91.4% for our core business was an improvement of 5% versus prior year on a like-for-like basis, excluding the loss portfolio transfer transaction we announced in the first quarter of 2023. The combined ratio has been supported by both loss and expense ratio improvements with the loss ratio improving 5 points, of which, importantly, 3 points came from attritional loss ratio improvement. We recorded no cat losses in the first quarter compared to $7 million last year and have no material exposure related to the Baltimore's Key bridge. 
 On an accident year basis, the combined ratio also saw an improvement and was down by around 4 points to 92.9%. Additionally, on a consolidated basis, this quarter marks the 12th consecutive quarter of favorable prior year development, providing strong evidence of our prudent approach to reserving. Our other underwriting expense ratio for core business also decreased 1.4 points versus Q1 last year as we realized the benefits from a cost-saving program. Combined, these improvements are important proof points of the actions we have and are taking to drive better underwriting performance. 
 Turning to our investment result, which continues to be strong in quarter 1. Net investment income of $79 million reflects the strong rate performance in the first quarter, continued optimization work by the team and rotation into high-quality spread products. Our portfolio continues to perform well. And again, we saw no defaults across our fixed income portfolio this quarter. Overall, our investment strategy remains unchanged, and we continue to operate a fixed income portfolio with an average credit rating at AA. 
 Turning now to our distribution strategy and consolidated MGAs, which have delivered strong results. Our distribution strategy remains important to us, and we have continued to onboard new MGA underwriting partners in line with our intention to partner as a paper and capacity provider without taking an equity stake. We added a total of three new MGA partners in the first quarter and expanded our relationship with two existing partners. Since the end of the quarter, we have also entered into two further new partnerships. This momentum we are building should bear fruit as we go through the year and emerge from the impact of the underwriting decisions we have taken to improve the underwriting profits.
 We continue to rationalize our equity stakes in the first quarter, closing the previously announced sale of Corvus and writing off a small investment. This brings our total holdings to 24 at the end of the first quarter, down from 36 at the beginning of 2023. 
 Moving on to our consolidated MGA's stand-alone performance. Service revenues were up 3% on prior year, while service margin increased by 1 point to 30%, generating net service fee income of $20 million, up 8% year-on-year. Despite the strong underlying performance, we continue to believe that the actual economic value is significantly higher than the carrying value of these assets and is not fully reflected in SiriusPoint's share price. 
 So in summary, 2024 is off to a strong start. Our aim is to keep that going. We are focused on improving the returns of the business, targeting a 12% to 15% return on equity in the medium term. Q1 performance shows we are on track. With these remarks, I will pass it over to Steve, who will take you through the financials. 
Steve Yendall: Thank you, Scott, and good morning, good afternoon, everyone. I'll now take you through the financial section of the presentation, starting with first quarter financials on Slide 8. Overall, it was a strong quarter with all 3 earnings engines positively contributing to net income and up year-on-year on a like-for-like basis as we adjust for the benefits linked to the lost portfolio transaction. 
 For the underwriting result, this marks the sixth consecutive quarter of positive income as we delivered core underwriting profits of $44 million with a combined ratio of 91.4%. Gross premiums written decreased 17% quarter-on-quarter for our core business. Top line growth was impacted by premium reductions in both the Reinsurance segment, where premiums are down $40 million compared to the first quarter last year, and insurance and services where premiums decreased by $140 million. However, premium reduction was largely driven by exits in certain programs, like cyber and workers' compensation, and adjusting for those premiums were down 7% for the core business. The reduction in premium demonstrates the decisive actions we have taken to prioritize underwriting profitability and to ensure we are closing the financial performance gap to operate at best-in-class levels. We do expect to pivot to growth in 2025. 
 Core MGA revenues grew 3% on prior year to $66 million and were driven mainly by growth from Armada, IMG and Arcadian. Margins improved by 1.4 points to a strong 30%, resulting in our MGA net services fee income increasing to $20 million for the quarter and was driven by better margins at both Armada and IMG. 
 Total investment results for the quarter was strong at $80 million. This was driven by $79 million of net investment income, which is up by $17 million compared to the prior quarter as the derisked portfolio continues to benefit from rate increases. Unrealized and realized gains, including from related party investment funds were $1 million. 
 Net income of $91 million is lower compared to the prior year quarter of $132 million, which included a one-off benefit of $80 million post-tax relating to the loss portfolio transfer announced in March of last year. On a like-for-like basis, excluding the benefit of the loss portfolio transfer, net income was up $44 million. Other items impacting income included $4 million of foreign exchange gains and a $16 million impact from mark-to-market on liability-classified capital instruments. Common shareholders' equity grew by 4% during the quarter, supported by strong earnings. Adjusting for AOCI, common shareholders' equity growth was 5% in the quarter. 
 Moving on to Slide 9. I will focus on the rate trends, including 4/1 renewals. We saw an average rate change at around 4% across our portfolio, excluding the North American program business. Rate change was mainly driven by the U.S. casualty and non-U.S. property portfolio. Non-U.S. property saw a 4% rate increase, while rates in the U.S. casualty increased by 3%. Accident & Health rates were up around 5%, while rates in the international business were up 4%.  
 Moving to the topic of renewals. Only 6% of our business renews in April, excluding North American program business. We experienced an average rate change at around 5% across the portfolio, excluding North America program business. 
 Next, Slide 10 shows the year-to-date changes in combined ratio for our core business and breaks the movements into individual subcomponents. Our headline combined ratio for the COR business was 80.5% in the first quarter of 2023 and benefited from 16.3 points of reserve releases linked to the LPT transaction. 
 Likewise, we benefited by 0.3 points from the LPT in the first quarter of 2024 related to the recognition of the deferred gain as we reported a headline combined ratio of 91.4%. Adjusting for these LPT-related benefits, we saw 5.1 points of improvement on a like-for-like basis. The improvement in the combined ratio for the core business was driven mainly by lower attritional and cat losses compared to the same period of the prior year. The core attritional loss ratio was at 59.7%, down 2.6 points on the previous year period, while we had no cats in the first quarter compared to $7 million last year for the core business. 
 On Slides 11 and 12, we look at the investment portfolio investment results. We delivered strong net investment income of $79 million, increased our overall asset duration to 2.9 years from 2.8 years versus full year 2023, and locked in attractive reinvestment yields in excess of 4.5% on our investments during the quarter. We continue to rotate our portfolio during the first quarter, investing over $300 million from short-term investments in treasuries into high-grade corporates and structured credit. We continue to benefit from higher rates. 
 Overall, our investment strategy remains unchanged and focused on maintaining a high-quality fixed income portfolio. 75% of our investment portfolio is now fixed income, of which 98% is investment grade with an average credit rating unchanged at AA. We did not experience any defaults in our fixed income portfolio during the quarter. P&L volatility is significantly lower, and has helped, given 93% of the fixed income portfolio is now designated as available for sale, up from 90% at Q4 2023 and none at year-end 2021. 
 Moving on to Slide 13, which looks at our balance sheet. Our balance sheet is strong, ending the quarter with $2.4 billion of common shareholders' equity, which is up 4% in the quarter, driven by the growth in net income. Total capital, including debt, stood at $3.4 billion. We lowered our debt to total capital ratio to 22.8%, which is within our target range. Debt leverage improved by 1 point and asset leverage is stable at 3.2x. 
 As a result of the debt actions mentioned earlier, we expect debt leverage to improve by a further 2.5 points. With this, we conclude the financial section of our presentation. Our first quarter results were strong and demonstrated another quarter of stable, consistent and improving results. We expect to build on this performance and aim to deliver a 12% to 15% return on average common equity in the medium term. 
 I would like to thank you again for your time this morning. For any questions, please contact our Investor Relations team at investor.relations@siriuspt.com. I now turn the call back over to the operator. 
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.